Operator: Ladies and gentlemen, thank you for standing by, and welcome to the fourth quarter and full year 2019 financial results conference call. [Operator Instructions]. I would now like to hand the conference over to your first speaker today, Katya Zhukova. Please go ahead.
Katya Zhukova: Hello, everyone, and welcome to Yandex' Fourth Quarter and Full Year 2019 Earnings Call. We distributed our earnings release earlier today. You can find a copy on our IR website as well as on newswire services. On the call today, we have Tigran Khudaverdyan, our Deputy Chief Executive Officer; and Greg Abovsky, our Chief Operating and Chief Financial Officer. Arkady Volozh, our Chief Executive Officer; Vadim Marchuk, our VP of Corporate Development; and Yevgeny Senderov, Chief Financial Officer of Yandex.Taxi will be available in the Q&A session. The call will be recorded. The recording will be available on the IR website in a few hours. As usual, we prepared a few supplementary slides, which are currently available on the website. Now I will quickly walk you through the safe harbor statement. Various remarks that we make during this call about our future expectations, plans and prospects constitute forward-looking statements. Our actual results may differ materially from those indicated or suggested by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our annual report on Form 20-F dated April 19, 2019, which is on file with the SEC and is available online. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Although we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. During the call, we'll be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with U.S. GAAP. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today. And now I'm turning the call over to Tigran.
Tigran Khudaverdyan: Thank you, Katya, and thank you for joining our call today. We are pleased with our fourth quarter and full year results. Our full year revenues grew 39% year-on-year excluding Yandex.Market. 2019 demonstrated that we are a truly diversified company, more balanced than ever. Just five years ago, our core business, Search and Portal, accounted for 94% of total revenues. Today, new businesses contribute more than 1/3 to our top line, with many of them still growing at triple-digit rates. To put it into perspective, Search and Portal accounted for 16 percentage points out of our 39% year-on-year revenue growth in 2019. Taxis contributed another 14 percentage points, and the remaining businesses together delivered 10% of that growth, primarily driven by Yandex.Drive. In Search, our team continues to introduce new features and advancements on the technological front. In December, we announced our latest search update, Vega, that brought multiple improvements to search quality. In brief, we now use ML and neural networks to anticipate the text of the query and begin to render results in real time in order to significantly accelerate loading time and improve the user experience, especially on mobile. Customization of search index freed up computing resources, which allowed us to double the size of our search index without requiring additional hardware. We believe that improvements in search quality, combined with our strong relationships with OEMs, helped us steadily increase our search share. Search share gains on Android accelerated in Q4 compared to the previous quarter. In December, we reached 54.6% on Android, up 160 basis points from September and up 520 bps from December 2018. Our overall mobile search share in December averaged 51.9%, growing 460 basis points year-on-year. As we have said on previous calls, we continue to expect our search share on mobile to grow, although at a moderate pace. We expect the new regulation of mandatory installation of Russian software on mobile devices should have a positive effect on domestic Internet companies. In Q4, our mobile search traffic reached 57.5% of our total search traffic. Mobile revenues represented 49.3% of our search revenues, and in December, mobile search revenue exceeded that of desktop. We are also very excited about the prospects of Zen, our personalized content feed platform. It continues to demonstrate strong growth. In December, Zen reached RUB8.8 billion annual revenue run rate, growing 49% year-on-year. Zen's daily audience reached 13.4 million users in December, also growing at 49% year-on-year. User engagement, as we measure by time spent, grew 89% year-on-year. Now people spend in Zen approximately 10 million hours per day. Approximately 10% of user time spent is driven by social features, which we added a year ago. Zen platform content now generates 66% of all clicks on Zen. In 2020, we will continue to focus on Zen's development, and we expect Zen's revenues to continue growing at a similar pace. I also want to mention the incredible performance of geo services, which, in Q4, doubled its revenues year-on-year for the ninth consecutive quarter. The growth was driven in a large part by local-based advertising revenues. In Media Services, Yandex.Music continued to strengthen its position in the music streaming market, not only in Russia but also in Kazakhstan and Belarus, where we saw a fivefold and threefold growth in the number of subscribers, accordingly. This helped us to reach another important milestone of 3.1 million subscribers. On the video side, we continued to invest in content to grow the KinoPoisk streaming catalog. In Q4, we announced a new exclusive deal with BBC. KinoPoisk HD becomes an increasingly appealing service for viewers. Just recently, the number of monthly viewing subscribers on the platform has reached 1 million. In Q4, subscription-based revenues of Media Services grew 175% year-on-year. Now turning to Taxi. In Q4, Taxi segment revenues grew 72% year-on-year on the back of solid growth in ride-hailing and FoodTech. Total numbers of taxi rides grew 49%. To remind you, our ride growth does not include food delivery performed by couriers. In December, the total number of monthly rides across all our geographies reached 150 million. Ride-hailing GMV annual run rate was $6.2 billion in December. Our corporate Taxi revenues more than doubled year-over-year in Q4 on the back of record food growth. In Eats, we expanded the number of restaurants to 15,000. There is no secret that the logistics side of food delivery business model is challenging, and courier cost is the largest structural cost item. The introduction of delivery fees in 2019, combined with our prudent approach to incentives, allowed for improvements in unit economics. Today, we continue focusing on technological solutions to bring delivery time down, which will lead to further improvement in unit economics of this business. In 2019, we launched Yandex.Lavka, our hyper local convenience store delivery model. By the end of December, we had already opened 50 dark stores in Moscow. Earlier this week, we launched in Saint Pete. The average delivery time in Lavka is approximately 15 minutes, and we use the same couriers as in Eats. This helps to significantly improve order density in our FoodTech business. We are very excited with the Lavka business, and we will actively invest in it in 2020. I also want to highlight our investments in self-driving technology. As you have noticed in our press release, we have disclosed our investments in SDC, which currently sits in the Taxi segment. In Q4, these investments totaled RUB555 million at adjusted EBITDA level. And since inception, we have spent approximately RUB2.2 billion on the project, including RUB1.5 billion in 2019. We believe that we have developed world-class technology on par with global leaders in the space at a fraction of the cost. I hope some of you were able to try it in person in early January in Las Vegas. In June, we will be operating robotaxi service in downtown Detroit during the 2020 North American International Auto Show in Michigan. Just to quickly summarize our recent achievements in SDC division. As of today, we drove over 2 million miles in the autonomous mode, the majority of which we drove in 2019 and on public roads. Our fleet exceeded 110 self-driving cars. We continue to enhance our technologies, both on the software and hardware fronts. Recently, we started to test our own LIDAR. It is a critical component for a full self-driving platform and as of today, the most expensive element in our self-driving cars. Having our own LIDAR will not only allow us to bring down our current LIDAR costs but will also enable more control over the work of these most crucial sensors to provide even better analysis of the outside environment. The last comment from me is about Drive. Yandex.Drive tripled its revenue in Q4 despite a decline in average share, driven by competition. The car-sharing market in Moscow was irrational in terms of pricing in Q4, and we believe that price rationalization is inevitable there. With this, I'm turning the mic over to Greg.
Gregory Abovsky: Thank you, Tigran, and thank you all for joining our fourth quarter earnings call today. It was a good quarter. Our consolidated revenue grew 33% year-on-year in Q4. Ex-TAC revenues grew 38% compared to Q4 of 2018. Total online advertising revenues increased 16% year-on-year. On an ex-TAC basis, online advertising revenues were up 19% compared with a year ago. Revenues related to Yandex properties grew 23% in Q4. Partner network revenues declined 5% year-on-year. Total TAC grew 8% year-on-year and amounted to 12.8% of total revenues, down 310 bps from Q4 2018 and flat sequentially. Traffic acquisition costs related to our partner advertising network increased 1% year-on-year on the back of modest partner advertising network growth. Traffic acquisition costs related to distribution partners grew 25% year-on-year, roughly in line with Yandex properties' revenue growth, mainly on the back of Android growth. In Q4, distribution TAC averaged 8% of Yandex properties' revenues, which is 30 basis points higher compared to Q3. On balance, we expect positive tailwind from distribution TAC from a number of different vectors. Turning to cost structure. In Q4, total OpEx excluding TAC, D&A and goodwill impairment grew 61% year-on-year. Excluding stock-based comp, operating expenses increased 61%. This increase was primarily driven by higher SG&A expenses where year-over-year growth was significantly impacted by a one-off cost of RUB882 million associated with our restructuring as well as by higher cost of sales mainly related to Drive and our corporate Taxi service. Excluding restructuring one-offs, our OpEx would have grown 56% year-on-year. As of December 31, we had 10,092 employees, up 5% compared to September 30, primarily reflecting new hires in Search and Portal, Taxi and geo services. On a year-over-year basis, our head count grew 15%. In Q4, our personnel costs amounted to 18% of total revenues. G&A expense in Q4 increased 24% year-on-year. The growth mainly reflected our investments in service and data center equipment, expansion of our car-sharing fleet as well as by costs related to purchases of office equipment. Our consolidated adjusted EBITDA grew 7% year-on-year. This quarter, the impact from forex was a loss of RUB999 million related to depreciation of the Russian ruble during Q4 from RUB64.4 to the dollar to RUB61.90 to the dollar. Adjusted net income in Q4 was down 22% year-on-year, and adjusted net income margin was 10%. The decline of adjusted net income was mainly driven by increased losses from the equity method investments related to Yandex.Market, our joint venture with Sberbank, due to significant growth of our Beru marketplace on a year-over-year basis. Adjusted net income excluding Yandex.Market was down 8% year-on-year in Q4 2019. Our CapEx in Q4 was 11% of total Q4 revenues while for the full year of 2019, our CapEx was 12% of revenues. In 2020, we expect our CapEx excluding new HQ expenditures to be in the low teens as a percent of total revenues. Now let me turn to the performance of our business units. Search and Portal delivered good results despite tough comps, with revenues growing 16.2% year-on-year. Search and Portal revenues ex TAC were up 18.6% year-on-year. We expect Search and Portal's ruble-based revenue ex TAC to grow in the range of 14% to 17% in the full year 2020 compared with 2019. Adjusted EBITDA at Search and Portal grew 13% year-on-year in Q4, and its adjusted EBITDA margin was 43.8%, down 140 bps compared with a year ago. Excluding IoT, adjusted EBITDA margin of Search and Portal was 45.9%, down 60 bps from Q4 2018. Margin decline was mainly due to higher personnel costs as we continue to invest in our key assets, our people. In addition, we increased investments in video content and ramped up sales of our devices. Turning to Taxi. In Q4 2019, Taxi revenues grew 72% year-on-year, as Tigran mentioned, driven by the solid growth in ride-hailing and FoodTech. In ride-hailing, GMV grew 47% compared to a year ago. Adjusted EBITDA for ride-hailing and FoodTech, excluding self-driving car costs, totaled RUB826 million. This includes investments in Lavka, which we started to ramp up in Q4 as well as a one-off tax provision of approximately RUB166 million in our ride-hailing business. Turning to Classifieds. Revenue of our Classifieds business grew 45% year-on-year in Q4. The growth is mainly driven by revenues generated from listing fees and value-added services, which increased 68% year-on-year. Adjusted EBITDA of Classifieds was positive RUB330 million. On to Media Services. In Q4, Media Services revenue grew 96% year-on-year, mainly reflecting the growth of our subscription services and video advertising, driven by KinoPoisk. Media Services adjusted EBITDA loss was RUB688 million, mainly as a result of our ongoing investments in content, higher advertising and marketing expenses and new hires on the back of business growth. Turning to other bets and experiments. In Q4, revenues of other bets and experiments, represented by Yandex.Drive, Yandex.Zen, geo services, cloud and Education, were RUB5.1 billion and grew 128% year-on-year, driven by Yandex.Drive, geo and Zen. Adjusted EBITDA loss of other bets and experiments was RUB1.8 billion, primarily as a result of our investments in Drive and cloud. On a full year basis, adjusted EBITDA loss of other bets and experiments was RUB5.2 billion. We expect adjusted EBITDA loss of other bets and experiments to be roughly flat in 2020 compared to 2019 in absolute terms while the adjusted EBITDA margin of this segment should improve. Now getting back to corporate matters. We ended the quarter with approximately RUB88.3 billion in cash and cash equivalents, which is approximately $1.4 billion at the exchange rate as of December 31. This includes the cash of Yandex.Taxi, which amounted to RUB24.4 billion or approximately $400 million as of December 31. In Q4 2019, we repurchased 460,000 Class A shares as part of our share repurchase program announced in November. We've repurchased about 600,000 Class A shares since the inception of this last buyback program. Turning to guidance. We expect our ruble-based revenues to be between RUB214 million and RUB221 billion or to grow in the range of 22% to 26% for the full year 2020 compared with 2019. We anticipate our consolidated adjusted EBITDA to grow in the high teens year-over-year in 2020. We expect our fiscal year 2020 Search and Portal adjusted EBITDA margin to be approximately flat compared with 2019 while all other businesses taken together, excluding self-driving cars, should deliver improvements on their adjusted EBITDA in 2020. We anticipate adjusted EBITDA to grow slower than consolidated revenue because of the segment mix effect as our rapidly growing businesses where we continue to invest and grow will account for a higher share of total revenues. With this, I'm turning the mic to the operator for the Q&A session.
Operator: [Operator Instructions]. The first question we have today comes from the line of Cesar Tiron from Bank of America.
Cesar Tiron: So just one question then. Can you please explain in more detail the key drivers of the slowdown in ad partner revenue and if you expect similar trend in 2020?
Gregory Abovsky: Cesar, it's Greg. Let me address your question about the ad network and what's going on there. So this is something in line with what we've talked about in the past where we are seeing kind of a mix shift in terms of our partners and we're also seeing a decrease in the amount of traffic that partners in the partner ad network are receiving. So as a result of that, the absolute revenues that we can get out of the ad network are declining. At the same time, we are really trying to emphasize the growth of our owned and operated properties, such as Yandex.Zen and many others. And I think you should expect that these trends will continue. So I'd say it's a continuation of the trends you've seen before. We obviously, as you can tell from the prepared remarks, are focused on driving ex-TAC revenue growth and optimizing the amount of revenue that drops down to the bottom line, which includes optimizing our relationships with various distribution partners as well as relationships with various ad network partners.
Cesar Tiron: And just very quickly, just on the distribution TAC as a percentage of revenue, can you please explain -- was there anything exceptional in the quarter?
Gregory Abovsky: So there were some exceptional things in the quarter. Some of them were related to distribution partners. I would say that in total, in addition to the total amount of the restructuring charge, which we excluded from the adjusted EBITDA numbers, there was approximately RUB800 million of expenses in the Search and Portal segment which were included in the adjusted EBITDA numbers and which adversely impacted those adjusted EBITDA numbers. And there's a number of different ones. One of them is sort of recognizing the contributions made by members of our team during the corporate restructuring efforts. Another are certain one-off payments to distribution partners. There's also investments that we made in improving our educational products, such as Yandex.Textbook. And there's some certain other items of smaller significance. So if you exclude those one-off items, the adjusted EBITDA on a full year basis of Search and Portal would have been up 50 basis points. So excluding devices, our adjusted EBITDA in 2019 would have been up 50 basis points. In Q4, our -- again, excluding devices, our adjusted EBITDA margins would have been up 180 basis points year-over-year. So I think that's kind of an important thing to keep in mind. And the investments that we made in Q4 on distribution side and some of the changes in our arrangements with certain other distribution partners should have a positive benefit to distribution TAC going forward. Is that clear?
Cesar Tiron: Yes, very clear.
Operator: The next question today comes from the line of Ulyana Lenvalskaya from UBS.
Ulyana Lenvalskaya: My first question will be on this new legislation about the Russian software pre-installation. Could you please elaborate a little bit on the mechanics of that? Any -- also, I would appreciate any comments on the potential market share gain, but I understand it's a bit early. And also, can you please talk a bit about the potential impact on TAC as a result of that legislation?
Gregory Abovsky: Ulyana, these are all excellent questions, and unfortunately, I don't have all of the answers as it's still too early and some of the details have not been worked out. However, I think it is important to note that we do expect positive impact from this legislation around pre-installation. And we believe that it could impact a number of different -- it could impact us positively in a number of different ways. It could lead to increased market share. It could lead to distribution TAC being lower and so on. But obviously, it's just too early to tell. I think this is legislation that should benefit domestic players in general, and we are obviously excited to learn what this will all mean over the course of the next few months.
Ulyana Lenvalskaya: And my second question will be on Taxi. Do you see any intensification of competition in the fourth quarter or now in the beginning of 2020?
Yevgeny Senderov: Thank you, Ulyana. This is Yevgeny. Well, competition is natural and inevitable and we've always been in competition since inception of this company. So competition exists, and it continues to exist. But if you look at the numbers already mentioned, right, we're 54% in 2019, 49% in the fourth quarter. If you look at our profitability margin ex SDC of 7 -- EBITDA profitability margin of 7%, you can see that sort of our Q4 performance proved that we can efficiently continue to grow the business in a pretty aggressive, competitive environment. We -- based on our internal analytics, we believe that we've been certainly maintaining market share across all geographies where we can intensely compete. And going forward, we think, by focusing on quality of product or technology, we'll continue to maintain our leading market share.
Operator: [Operator Instructions]. The next question today comes from the line of Slava Degtyarev from Goldman Sachs.
Slava Degtyarev: My question is on advertising side. Can you comment on any specific market or sector trend at the beginning of 2020? And do you see higher or lower activity across any particular advertising category compared to 2019 levels?
Gregory Abovsky: Slava, so I would say that in Q4, what we've seen is a continuation of weakness in the apparel segment. And there's also some weakness in, and by weakness I mean slower-than-average growth, in the finance and insurance sector. The other sector that's been a little bit under pressure is real estate. I would say -- and kind of year-to-date, we're generally seeing those same trends from Q4 continuing, and I think that goes sort of across the board, both on the ad network side, on the owned and operated side and so on.
Operator: The next question today is coming from the line of Lloyd Walmsley from Deutsche Bank.
Christopher Kuntarich: This is Chris on for Lloyd. Maybe just first on the Taxi business here. You flagged that the corporate business taxi rides are booked on a gross basis. So can you remind us why, again, this is the case? And I think you guys had called out that they had doubled during the quarter. Can you just talk about their contribution to revenue growth for the quarter?
Yevgeny Senderov: Well, this is simply GAAP accounting, so that's accounted on GMV basis. Of course, once we get to an EBITDA number, we get a clean EBITDA number. But we don't disclose the specific number. But I can tell you, if you look at our GAAP revenue growth, roughly 8 percentage points of the growth is attributable to growth in B2B and the rest is our food business.
Christopher Kuntarich: Okay. And then maybe just one follow-up on the food delivery business, just quick update. I know you talked about competitive dynamics within the core ride-share market, but can you talk more as it relates to the food delivery business and maybe help us think about where things are at and what you guys are seeing in some of the major metros versus some of the smaller cities and regions?
Yevgeny Senderov: Well, just as of last quarter, as of the end of the quarter, we're delivering from 15,000 restaurants in our network. And of course, just like in the ride-hailing business, we're focused on building a long-term viable and profitable business. Throughout the year, we've seen significant improvement. As already mentioned by Tigran, we've seen significant improvement in our contribution margin. And we see absolute growth in our business, but we're mindful that we're looking for growth but also planning our improvement in unit economics. And overall, in food, we continue to experiment with new kind of usage cases for our customers, and one of them is Lavka, which is still in early experiment, but early signs are very encouraging.
Operator: The next question today comes from the line of Miriam Adisa from Morgan Stanley.
Miriam Adisa: My question would just be on Yandex.Lavka. Just wondering if you could talk about the potential impact on CapEx as you are rolling out dark stores and then also, if you could talk a bit about the unit economics of that business and how that compares to the third-party food delivery model.
Yevgeny Senderov: Well, talking about unit economics, we see continuous improvement. But it's very early days because it's a very, very young experiment, one that we think there's a lot of interest from our customers. But we continue to experiment with that, and of course, the impact on our financial statements will sort of be proportionate to the success of our honing the business model in the next several months throughout the year.
Miriam Adisa: Okay. And then my follow-up would just be on Yandex.Drive. You mentioned that there's been an increase in competition. I guess how long do you think it will take for the market to rationalize? And is there any area that you can really differentiate your product? Or is it really just about the pricing?
Gregory Abovsky: Obviously, there's a -- Miriam, it's Greg. There's obviously a lot of things that we're trying to do on the product side to improve the unit economics of this business, including things like fixed tariffs and other algorithmic things that we're trying to do. It is certainly our intention to try to rationalize this market and try to improve the prospects for all of the different players. And if necessary, we will take steps to bring supply and demand in the car-sharing segment closer in line to better sort of match the number of riders and the number of cars. But I think this is a -- it's a very exciting segment. I think it's a great effort that the department of Transportation of Moscow has made to enable car-sharing in the city, and I think it's very synergistic, as I've said before, with our core ride-sharing business. So it's -- we're still very excited about the prospect here, but we also want to be prudent and manage the amount of burn in this segment.
Operator: [Operator Instructions]. The next question comes from the line of Vladimir Bespalov from VTB Capital.
Vladimir Bespalov: My first question will be on your partnership with Sberbank around Yandex.Market. First, how do you see this partnership developing in the future, especially given that we hear quite a lot of unconfirmed reports that Sberbank is increasingly looking at OZON, the potential alternative platform to develop its e-commerce exposure? And the second question is on Yandex.Money. This joint venture fintech has been a pretty hot topic, but we haven't heard much exciting about this joint venture between Yandex and Sberbank, unless I missed something. So what do you think about this one, and in general, about Yandex' potential to expand in the fintech area?
Gregory Abovsky: Vladimir, thank you very much for your question. So with respect to our joint venture, Yandex.Market, I'd say, first of all, we're extremely pleased with the performance of the joint venture. On the price comparison side, it's demonstrating solid revenue growth. On the newly created marketplace, Beru, we've reached a record RUB46 billion in annualized GMV run rate based on December 2018 figures. And sort of year-to-date, the marketplace is running ahead of budget, and I think it's executing well. At the same time, we also noticed some of the rumors that you mentioned, but I just want to make it clear that the joint venture that we have formed on the basis of Yandex.Market is an exclusive arrangement for both Sberbank and for Yandex such that any and all e-commerce activities of these 2 companies, of Sberbank and Yandex, are conducted through this Yandex.Market joint venture. And obviously, Sberbank is a reputable and high-quality partner, and we would expect them to follow the letter as well as the spirit of the joint venture agreement. On the question of Yandex.Money, we also noticed that fintech is an extremely interesting sector, and we are evaluating what are the various options for Yandex to play a more active role in that space.
Vladimir Bespalov: Okay. And maybe one more question. Maybe you could comment a little bit on the margins of different segments, in particular in the Taxi segment. Could you give us more color if, for example, we take out the FoodTech component out of the equation, what will be the margins roughly for the ride-hailing business on their own? And also, other bets and experiments, how much of that EBITDA loss was attributable to Yandex.Drive? If you could comment on that.
Gregory Abovsky: Sure. On the first question, as you can see, the FoodTech part of the Yandex.Taxi business is, first of all, loss-making; second of all, has ramped up in terms of absolute expense as a result of the rollout of the Yandex.Lavka convenience store delivery model. We have ramped up, I think, to about 50 stores by year-end, and I think since then, we've opened a dozen or so more. And so I think it's natural to assume that the underlying margins of the Taxi segment are quite a bit higher, the ride-hailing part of the Taxi segment, than the segment overall. And the other thing to keep in mind is, based on what Yevgeny talked about on the B2B segment, if you counted the B2B on a net basis as opposed to gross, the margins would be even higher. And then if I sort of dive deeper into the other bets and experiments segment, first of all, I just want to repeat what I said in the prepared remarks, which is that we expect, in absolute, the amount of investment in other bets and experiment in 2020 to be on par with 2019 level. The biggest lossmaker there, frankly, is Yandex.Drive, and as I mentioned, we're taking steps to optimize that. Another major area of investment for us is cloud. We're much more pleased with the progress of the cloud business unit, and therefore, we will continue to invest in the cloud offerings. We've seen quite a number of corporate switch to Yandex.Cloud offerings, and we think that this has excellent potential. The other segments that are in there are things like maps and navigation, which I said is doing quite well. It's obviously a platform play, and there is a fixed cost component to it, but we've done a really good job of getting small- and medium-sized businesses to advertise with us and bring them online really for the first time ever.
Operator: The next question today comes from the line of Svetlana Sukhanova from Sberbank.
Svetlana Sukhanova: Can you please help me to reconcile your guidance for the next year? You guide around 22% to 26% growth for the full year. I know it -- which is actually below Bloomberg consensus. I know that you are traditionally conservative. What -- can you give us more color about how different lines should grow? And one specific question around this would be about Lavka. You do report Taxi and Yandex.Eats on take rate basis. So my understanding is that you should be reporting Lavka on gross basis, so all the revenue itself should go directly to the revenue line, which would somehow boost and distort the revenue line. Is it somehow accounted in this guidance? So it's kind of 2 small questions in that big question.
Gregory Abovsky: Svetlana, those are all excellent questions. On the subject of guidance, I think, historically, if you look at the evolution of guidance over the course of the years, Yandex tends to guide conservatively. We're early on in the year, and as usual, there's lots of puts and takes. And so as a corporate policy, we try to sort of start off with -- in a fairly conservative fashion and hopefully deliver against those expectations over the course of the year, which we historically have done. On the topic of Lavka, you're absolutely right in the accounting. This would be accounted on a gross basis, so whatever revenues are booked by the end users would all flow into the Yandex P&L, into the consolidated revenue line. But the thing here is we have so far budgeted the Lavka expansion in a very conservative fashion. And if the metrics that we've set out for ourselves are proven right, we will obviously accelerate the pace of rollouts of those Lavka dark stores. And obviously, that would imply considerable upside to the revenue growth as well. So I want to emphasize that we wanted to take a very conservative approach to the outlook and include only a fairly small number of convenience stores in this outlook. Did I answer your question?
Svetlana Sukhanova: Yes. That's very fair enough. And do you disclose what kind of conservative numbers you have of dark stores included...
Gregory Abovsky: We have not.
Svetlana Sukhanova: Okay. That's fair enough, understand. My second question would be on Beru. Greg, I think from what I heard from your comments, and maybe I have misheard it, that -- about net income decline, if not kind of investments in Yandex.Market and Beru, the net income decline would have been only 5% year-on-year. Was that kind of comment right? Have I heard it right?
Gregory Abovsky: So if you exclude Yandex.Market losses, which were quite considerable, in the adjusted net income line -- we do obviously recognize about 50% of those losses, and our joint venture partner recognizes the other 50% of the losses. And if you excluded those, then Q4 adjusted net income would have been down 8%.
Svetlana Sukhanova: 8%? Because I quickly recalculated and I am getting ...
Gregory Abovsky: 8%
Svetlana Sukhanova: 8%, okay. I was recalculating at 5%, but I'm getting at around RUB4.8 billion losses of Yandex.Market in Q4. Is it right calculation?
Gregory Abovsky: I'd have to double check, but at ballpark, it sounds probably reasonable. You'll recall, obviously that Q4 is...
Svetlana Sukhanova: And can I -- understanding the ballpark. That was exactly my question. So Q4, do I understand that losses might be seasonally higher than in Q1, Q2 and Q3 because of the seasonality?
Gregory Abovsky: Correct.
Svetlana Sukhanova: Okay. Fair enough. And if you allow me a very quick third question. I haven't -- I have missed Zen run rate if you have disclosed it. If not, can you help us with Zen run rate?
Gregory Abovsky: Sure. The Zen run rate was RUB8.8 billion, and it was growing 49%, if I remember correctly, on a year-over-year basis in Q4.
Operator: [Operator Instructions]. The next question today comes from the line of Cesar Tiron from Bank of America.
Cesar Tiron: Just wanted to -- as you answer the question on Zen, can you please explain what drove the slight slowdown in revenue growth? And then I had a question -- just wanted to make sure, on the adjusted EBITDA which we reported, does it exclude the professional fees which were paid for the restructuring for the capital structure?
Gregory Abovsky: Cesar, I didn't understand the first part of your question. Could you just repeat that?
Cesar Tiron: Sure. What drove the slowdown in Zen revenue?
Gregory Abovsky: Well, it grew 49% in Q4. It grew 59% on a full year basis. And we expect that, in 2020, it should grow in that same general range of, call it, 50% to 60% on a full year basis. And so -- yes, and so this -- if you think about slowdown, obviously, it is quite large already. It's about 13.8 million daily average users. They're all spending in excess of 30 or 40 minutes per day on the service. And so clearly, going forward, there are significant opportunities to accelerate that growth, but we still have a lot of work to do. And once we are able to do that -- I think we can; for example, integrating it into our main search app and our other search properties, make it richer, make ad video and so on. I would say we're very excited about the prospects of Zen, but it will take some time. And then on the professional services, again, I just want to be very clear. RUB822 million, that was -- professional services was excluded from adjusted EBITDA. There's another RUB800 million of one-off payments that was included in EBITDA. And I can sort of repeat what I said before. There were kind of recognition of the contribution of certain team members during the corporate restructuring efforts. There were certain one-off payments to distribution partners. There were investments in educational products, and there are some other items that were less significant. But all in all, this was about RUB800 million in total. Is that clear?
Cesar Tiron: Yes.
Operator: The next question today comes from the line of Catherine O'Neill from Citibank.
Catherine O'Neill: On media, I just wanted to ask if it's possible to talk about the losses within the media division especially for 2020, given some content deals you've talked about and also whether you think the Media Services could benefit at all from the pre-installation legislation that's coming.
Gregory Abovsky: On Media Services, most of the investments are in content. We are acquiring rights to professional content from a number of domestic and international content creators. I think one of the deals that we've highlighted in the prepared remarks was the deal with the BBC. Our estimate of total losses in the Media Services segment in 2020 is to be roughly on par with the total losses in 2019. In 2019, we lost approximately RUB2.2 billion in Media Services on about RUB3.9 billion of revenues, and we expect to continue to strongly grow the amount of subscribers in Media Services. So we finished the year off at just over 3 million. And I think just last month, we already passed 3.3 million subscribers, and this includes both subscribers to Yandex.Music as well as Yandex video -- or KinoPoisk, I should say.
Catherine O'Neill: And do you have any thoughts on whether the music -- sorry, the Media Services could benefit at all from the pre-installation legislation?
Gregory Abovsky: Oh, I'm sorry. Yes, I forgot that one.
Catherine O'Neill: And if that legislation is going to come in July, yes.
Gregory Abovsky: I think it's too early to tell, and we, frankly, don't know.
Operator: The next question today comes from the line of Ildar Davletshin from Wood & Co.
Ildar Davletshin: So I just wanted to ask a question on the regulatory initiative that has been already asked a couple of times, but in more broader terms. So the new government mentioned several times that they would like to engage the leading tech companies in Russia in promoting various digital services. So I'm just curious if you have had already any contact with the new government. And also, which particular segment do you think could get additional boost, apart from just search, from various initiatives such as free data traffic or maybe other initiatives?
Gregory Abovsky: Ildar, I would say that there have been a number of initiatives which I think have been aimed at sort of addressing various domestic players and supporting various domestic players in Russia. And you mentioned a number of them, and there's obviously a lot more. And we are obviously in constant contact with legislators, and we are always trying to be constructive. We want to ensure that whatever new legislation comes into force is appropriate, that it's in the interest of consumers, that it works to level the playing field. And if you recall, a few years ago, we led globally an effort to open up the Android platform and -- where we filed a case with the federal antitrust service in Russia. The result of that case, which, a few years back, seemed surprising, but today, it seems like very much ordinary course, was the creation of a choice screen for search on the Android platform. And interestingly, you've obviously seen now many countries around the world following those footsteps and create choice screen-type windows on Android in order to level the playing field and open up the chokehold of some of the platforms -- technology platforms that exist. So I think that's the general global landscape. And I think that, in many ways, sometimes Russia is ahead of the curve.
Ildar Davletshin: And maybe just a quick follow-up on a separate subject of your potential merger or acquisition of this local taxi company, Vezyot, if there's any update. I know -- I think you filed a second application. Like could you give us some update on this deal?
Gregory Abovsky: Yes. So look, I think we're very excited about the Vezyot opportunity. We think it's beneficial to consumers in the regions especially. It allows us to take our technology platform that we've developed inside of Yandex.Taxi and bring it to the regions to benefit both riders and drivers. The case is pending approval. We continue our constructive dialogue with the FAS and providing them with additional materials for weighted and balanced discussion.
Operator: The next question today comes from the line of Kirill Panarin from Renaissance Capital.
Kirill Panarin: I've got two, please. Firstly, just to follow up on your Search and Portal margin guidance. I think you mentioned you expect flat dynamics in 2020. I just wanted to clarify, does it reflect any potential positive impact from new legislation? And the second question is on food party impairment. Could you elaborate a little bit on this, what drove the impairment? I'm just interested -- was it business specific, i.e., related to execution? Or was it because of worse-than-expected fundamentals of the business model?
Gregory Abovsky: Kirill, on the question of impact on margins, again, we tend to take a conservative approach with guidance. And so obviously, we did not bake in any benefit from any potential changes in legislation with respect to market share, with respect to traffic acquisition costs or anything else. And on the food party question, I'll hand it over to Yevgeny , the CFO of Yandex.Taxi segment, to answer that.
Yevgeny Senderov: Kirill, well, it's -- actually, what happened is really a change of strategy. And that required, from our auditors, a write-off because the Yandex.Chef no longer continues as a separate business but is, in fact, rolled in into our overall Eats business. And you can find their product -- if you go to our Lavka page and the app, you'll see their products. And we're integrating the people and some of the production facilities that they've had into the Lavka and Eats business. But unfortunately, as it no longer continues as a separate entity, we had to take a write-off.
Operator: The next question today comes from the line of Igor Goncharov from Gazprombank.
Igor Goncharov: Just a quick follow-up question on the ride-sharing business. If I heard you correctly, you mentioned that the GMV in the business has increased by 47% year-on-year this quarter. Do you provide any indication of the absolute size of the running rate of the GMV in the ride-sharing business?
Gregory Abovsky: Yes. We mentioned in the prepared remarks, but I'll repeat it one more time. The GMV was RUB6.2 billion -- dollars, sorry, $6.2 billion on a run rate basis in December 2019.
Operator: The next question today comes from the line of Anna Kurbatova from Alfa-Bank.
Anna Kurbatova: My question is on the cash position. So both Yandex in general, on the consolidated level and Taxi keep substantial cash position or continue keeping. And my question is mostly relating to your approach to the position by Taxi. So the unit continue holding approximately RUB25 billion on the balance, and most of this cash was contributed at the point of joint venture creation. So I just wanted to -- your comments, approach and how could you expect to use this cash. So that -- because the segment looks like self-sufficient in terms of cash and revenue from ride-hailing and investment needs, so what would be the main reasons why and when this cash could be spent?
Gregory Abovsky: Anna, I'll try to answer that question. So you're right that most of the cash that appear on the balance sheet of Yandex.Taxi at the moment or the combination of Yandex.Taxi and Uber businesses, is still there, which obviously reflects sort of the excellent execution by the team as they've obviously grown as a sizable FoodTech business, as they built the self-driving car efforts, which have now achieved 2 million miles of self-driving on public roads in Moscow. So I think that's all very impressive. I think going forward, there's a number of businesses that Yandex.Taxi may still expand into, and we always look for new opportunities to create shareholder value. Potentially, Yandex.Lavka could be a large investment idea. Some of the cash would be used for the Vezyot acquisition once that is approved by FAS. So I think we feel good about our cash position. And obviously, having rich parents, and in our case Uber and Yandex, is always good so that we can always inject more capital into Yandex.Taxi if necessary.
Operator: We have a follow-up question here from Slava Degtyarev from Goldman Sachs.
Slava Degtyarev: A question on loyalty program, Yandex.Plus. Any new features that were introduced recently? Or any plans for the year ahead on that side?
Gregory Abovsky: Slava, so yes, we're -- I would say, of all the things at Yandex that we're excited about, this is one of the top 3 and -- along with Zen and Taxi and self-driving cars. I think the reason that we're excited about it is it obviously draws consumers into the Yandex ecosystem. It draws them in by getting them to use our products and services more frequently and to pay us on a subscription basis. Obviously, as that number grows in terms of size, it provides us with a much more stable revenue stream. And one of the reasons why we are focused on investing in Media Services and specifically on video content is that we plan to get more and more people more of what they want, so not only music, but also video, also discounts on Yandex.Taxi, discounts on Drive, space in online cloud storage, free shipping on Beru and so on. So almost all of the subscribers of -- that I mentioned, the 3.1 million Yandex.Music subscribers, almost all, but not all, are also subscribers to Yandex.Plus, and over time, we plan to continue growing this number. And as I mentioned, it's already grown by about 200,000 subscribers in the first month of this year.
Operator: And the last question today comes -- another follow-up question here from the line of Vladimir Bespalov from VTB Capital.
Vladimir Bespalov: It's basically on advertising. There have been some media reports that you're shifting your strategy in advertising and working with advertising agencies, in particular. And you prioritize traffic to your video platforms and to Yandex.Zen and maybe less priority to search in working with advertising agencies. Could you comment on this? How do you expect your strategy in this area to develop and maybe how it can help you reignite growth in addition to what you have said already?
Tigran Khudaverdyan: Vladimir, this is Tigran. So may I comment about changing the landscape on agency side? So as we see, Yandex.Direct is becoming more and more commoditizing, and therefore, we think that the like blended average commission that should be -- could be paid on that could be decreased. On the same time, we are developing new products for advertisers. And as is common on that market, agencies are getting bigger commissions for new products. And the changes that we had made, they reflect this common strategy that any big platform usually have.
Operator: There are no further questions over the phone at this stage. Please continue.
Katya Zhukova: It's Katya Zhukova speaking. Thank you all for joining our call today. Please feel free to reach out with questions to IR team, and happy Valentine's Day to everyone. Thank you. Bye, bye.
Operator: Thank you very much. That does conclude the conference for today. Thank you for participating. You may all disconnect.